Operator: Good afternoon and welcome as S&W Seed Company reports their Second Quarter Fiscal 2013 Financial Results. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Robert Blum of Lytham Partners. Please go ahead.
Robert Blum: Thank you, Amy, and thank you all for joining us to review the financial results of S&W Seed Company for the second quarter of fiscal year 2013, which ended on December 31, 2012. As the conference call operator indicated, my name is Robert Blum. I am with Lytham Partners. We are the Investor Relations consulting firm for S&W Seed Company. With us on the call representing the Company today are Mark Grewal, President and Chief Executive Officer and Matt Szot, Chief Financial Officer. After conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today’s call does not have a full text copy of the release, you can retrieve it from numerous financial websites or at the Company’s website at swseedco.com. Before we begin with prepared remarks, we submit for the record the following statements. Statements made by the management team of S&W Seed Company during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934, as amended and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events or results to differ materially from those projected in the forward-looking statements, including the risks that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in the Company’s 10-K for the fiscal year ended June 30, 2012, and other filings made by the Company with the Securities and Exchange Commission. With that said, let me turn the call over to Mark Grewal, Chief Executive Officer of S&W Seed Company. Mark?
Mark Grewal: We’re very pleased with the progress made during the quarter and positioning S&W to be a leader in the alfalfa seed marketplace for years to come. During the quarter, we announced record quarterly revenues of $13.7 million, an increase of 189% compared to the second quarter of the last year, while a portion of this increase was due in part to the acquisition of Imperial Valley Seeds or IVS as one of us may discuss later on. We had organic revenue growth of 54% on our core S&W seed and crop revenues. This continues to underscore the strong demand for our proprietary alfalfa seed varieties. We made tremendous progress on our margin expansion initiatives with saw S&W seed and crop margins on the core S&W operations increased from 12.7% last quarter to 19.1% this quarter. This was driven by approximately a 10% increase in our average selling price since last quarter and a 17% increase from the second quarter of last year. The company’s strategic plan to expand the overall acreage dedicated to the core S&W proprietary alfalfa seed business is ramping as expected. We expect to have between 9 million pounds and 10 million pounds of seed available to sell through various sources next year, which is an increase from approximately 2.8 million pounds anticipated for sale this time last year. The company currently anticipate securing seed for the fall 2013 harvest from the several sources, which include S&W and IVS as proprietary varieties as well as certified public and non-certified varieties that have historically been a portion of the IVS business model. These estimates do not account for any acquisitions of land or otherwise they have not yet occurred. As we have previously discussed, we are very active in our pursuit of additional farmland to look to build off these numbers and the future going back to the discussion we have on the return on investment that we offer our farming customer. While there are a number of investors that have followed the company for many years and understand that economic advantages of our S&W varieties, there are a number of new investors as well and I think it is important for us to reiterate those advantages. In numerous university and company trials S&W’s leading varieties have consistently out yield the competition. If you look at our S&W 9628, for an example, it has a yield advantage of 108.8% in four different trials versus the public varieties. With same prices ranging from $200 to $300 per ton, adequates to an incremental profit to an alfalfa hay farmer of approximately $2,500 per acre per year or $7,500 per acre over the typical three-year of the stand, the three-year life of the stand. These types of advantages are very significant and it has been our job to communicate them to the marketplace. We have obtained strong traction over the last year or two in this regard, but there is plenty of room for continued expansion, especially as we began to cross into the IVS sales channels. And as it pertains to IVS, we are planning towards the gradual transition of the IVS growers’ base into S&W varieties. What this means is that over the next three years or so we will gradually replace the varieties that are existing in the contracted grower base currently. And then has ground with our leading S&W varieties. This should have the beneficial impact of increasing overall gross margins going forward. As you will see in the press release, IVS had gross margins during the quarter of approximately 0.5% and that’s historically operated between 12% and 14%. This compared to S&W, which has had a proper seed margins of approximately 20% during the second quarter and historically operates between 25% and 30% margins. Our goal is to transition all of the farm land available to us and the sales distributions to higher margin varieties over period of time. One last note on this topic going forward, we believe that the economic benefits of our varieties coupled with our entry into the biotech marketplace domestically to push these margins up even further in the future. And speaking to the point of biotech let me turn now to discuss some of the progress that has been made on our partnership with Monsanto and Forage Genetics International or FGI. As we announced in early October, S&W signed a series of agreements that enables the company to produce and sell seed of approved varieties containing Monsanto’s Roundup Ready trait. For the last two years, we have been working with FGI to introduce that trait into two of our highest yielding salt tolerant and non-dormant varieties. Those efforts have now allowed the planting of our first Roundup Ready variety at two trial locations to ensure that our internal agronomic performance and FGI trait requirements will be met. If we are successful, we will be able to meet the growing demands of domestic customers, who want to take advantage of this integrated technology. Now, let me turn the call over to Matt Szot for a review of the financials and I’ll make a few closing comments before we open the call up to your questions. Matthew?
Matt Szot: Thanks Mark. Let me take a few minutes to review the financial results for the quarter. For the second quarter revenues totaled a record $13.7 million compared to $4.7 million a year ago and $6.7 million in the first quarter of this current year. And increase of 188% and 104% respectively. Of the $13.7 million in revenues, approximately $6.4 million that derived from S&W’s organic business on a fair organic meaning that our existing core business of rather remaining $7.3 million came from our newly acquired IVS operations. Seed and other crop revenues totaled $13.6 million, while million operations contributed approximately a $100,000. The $6.3 million in S&W’s organic seed and crop revenues translated into a 54% organic growth rate when compared to the second quarter of last year. Now moving to IVS, IVS get ever strong quarter with $7.3 million in revenue, this is better than originally forecast and due to strong sales events that company’s alfalfa seed and our ability with source additional non-certified seed. During the quarter we sold approximately 1.4 million pounds of S&W derive seeds versus 1.1 million in the comparable period of the prior year. A 32% increase in volume from an organic standpoint. To that point to more accurate line our selling price of the increased costs of production. We were successful in increasing our average sales price over 10% over the last three months and we are optimistic that we are going to continue to improve our selling prices for the remainder of the year. As we’ve discussed, the blending price point and margin profile [Argo] IVS operation is lower than our core S&W varieties. So that is clearly one of the reasons why we’re really so excited about the margin expansion potential going forward. As we gradually convert farmers from the traditional IVS sourcing option, S&W’s proprietary varieties, we should experience significant margin expansion. It’s important to note that IVS’ business is broken into two main product lines; certified seed, which includes IVS’ proprietary varieties and certain public certified varieties as well as non-certified seed, which is typically coated. For the second quarter, the break-down between those two product lines was relatively evenly split. As we begin to convert the IVS grower base and sales channels into S&W’s proprietary varieties, we expect significant margin improvement. Overall gross margin, including our milling operations were 13.8% in the second quarter excluding the reserve for stevia or 11.6% including the reserve. As we mentioned in our press release earlier today, we took a loan of cost from market reserve of $300,000 against our CV inventories in the current quarter. From an operating expense standpoint, SG&A as a percentage of revenue, decreased to 8% compared to 16% in the comparable period of prior year and we do think this is a good indication of the scalability of our business. Adjusted non-GAAP net income for the second quarter of 2013, excluding the reserve and acquisition-related expenses was $0.05 per basic or $0.04 per diluted share compared to $0.01 per share basic and diluted in the first of quarter of 2013 and compared to $0.08 per basic and diluted share in the second quarter of the prior year. Adjusted EBITDA totaled $859,000 in our second quarter, which is an improvement of over $500,000 from our first quarter and, you can find a reconciliation of adjusted EBITDA in our press release. From a balance sheet perspective, we ended the quarter with $3 million in cash and over $14 million in networking capital. In January 2013, we did complete a public offering, generating gross proceeds of approximately $10.5 million and, that’s really going to enable us to continue to be proactive in our pursuit of agricultural company and farmlands extend upon the S&W platform that we’re building. From an inventory perspective, our December balance sheet ended with approximately 600,000 pounds of proprietary S&W varieties, and, we were carrying no balances from IVS. Now, you recall that we have an exclusive sourcing agreement with Imperial Valley Milling and, we have the exclusive right to purchase all the Imperial Valley Milling seed production and, this really enables us to manage our working capital to over the remaining although, we ended the December quarter with no IVS inventory, we do expect to source product from Imperial Valley Milling, which should generate another $4.5 million to $5.0 million of sales in the second half of this year, specific to IVS. Finally, the average number of basic shares outstanding during the quarter was $7.8 million, an $8.4 million diluted, when you take into account the January financing, we currently have approximately 9.3 million shares outstanding. We’re pleased with the progress we’ve made over the last quarter and we’re really optimistic that we would continue to drive the top-line and bottom-line into the future. And, I’m going to turn it back over to Mark.
Mark Grewal: Thank you, Matt. As Matt mentioned, our second trial harvest of stevia took place during the second quarter of fiscal 2013. We again experimented with different harvesting methods and equipment used and expect to ship additional stevia leaf to PureCircle in the next couple of months. Importantly, the knowledge that we gained through these pure harvest is showing benefits in the lab. With the addition of Dan Gardner as our Vice President of Breeding and Genetics is done an excellent job in a short period of time. Looking at ways in which we can execute on our goal of matching our plants with attracting case profiles to those of them attracting yield files. We’re dedicated to the major expansion of our stevia development program. We’re dedicated to the continual investment in research and development, keep S&W as a leading provider of high quality of alfalfa seed and stevia. And finally we will stay focused on pursuing other opportunities in the agricultural market. They will fit nicely into our expanded platform. We are confident in our ability to continue executing upon these initiatives with a goal of positioning S&W to be a leader in the agricultural breeding, production and processing today until the foreseeable future. I want to tell you we built a team with (inaudible) and there is not these are not working. And as always we appreciate your support and we remain dedicated to continue repaying you’re support many times over. With that said, I’m going to turn it back over to Robert’s we can talk to the operator and get it everybody on one ask a question. Amy can you instruct our listeners on how to queue up.
Operator: (Operator Instructions) Our first question comes from Brett Wong at Piper Jaffray.
Brett Wong – Piper Jaffray, Inc.: Hi, good afternoon gentlemen. Hope everything have gone well down at the World AG Expo. The question on pricing in the quarter and then your expectations, what’s driving those expectations?
Mark Grewal: Matt, you want to start on the pricing, and then I’ll go on with expectations.
Matt Szot: Sure. So for S&W’s core business, our average sales price inclusive of freight was 439 of pound, excluding freight that was $4.28 of pound, and that was up from 389 last quarter. So we saw 10% increase in pricing. Mark do you want to talk about.
Mark Grewal: Brett, the demand is definitely there, what’s going to happen right now is all the seed company who are flying out to Australia to see, what’s the remaining non-dormant crop going to look like coming out from down under. Currently, the non-irrigated crop, which is a major acreage portion out there, I mean, it’s an important component it’s very poor. With that said, you never know what’s going to happen on the Islands with weather. So hopefully the irrigated crop is good, because we don’t have enough seed, and we hope that it’s a decent crop, if it is, then we see pricing remaining as strong as it is now, maybe even a little higher. We have opportunities to ramp their price up above the 425 range were to see how far we can go. So we’re very confident the next 18 months brings a very strong profile in the alfalfa. And when you coupled that with the Asian Markets and the growth, there sits a lot of expansion that could happen. We are in this thing at the right time and it’s really awesome for positioning ourselves for looking at the distribution centers to point them with the growing markets, the third world countries, so it’s very exciting time and if I didn’t answer part of that question, please rephrase or clarify what you would like Brett.
Brett Wong – Piper Jaffray, Inc.: No, no that was great thanks. On the production side, can you maybe talk about where you are at now? What do you expect to be whether I think in kind of what it takes to get to the high-end of the 11,000 to 13,000 range you guys provided for us before?
Mark Grewal: Yes Brett, we are currently a little over 10,000 acres that we know that what we have but we also have other sources of getting seed. Then I will have Matt do a little translation for you, but we’re still searching for the right contracted growers. It’s a little bit early to plant in spring. Its still too cold in California. We will probably have a few more acres going in, in March and then will give you an update but our goal and we’ve never done this before, we’re changing the model a little bit for you but our goal we’ve stated, we’ve got at least 9 million pounds of seeds. I have to give you a pretty good model to look at where we’re headed. We believe that it could be higher than that. I’m going to give Matt kind of convert what the actual acres of sourcing does for us in a different method for you.
Matt Szot:
Brett Wong – Piper Jaffray, Inc.: Okay, excellent. That’s very helpful. We’re definitely looking at the poundage more than the acreage and I’ll hop back in line. Thanks.
Mark Grewal: Thank you very much.
Operator: Our next question comes from Ian Gilson at Zacks Investment Research.
Ian Gilson – Zacks Investment Research, Inc.: Hi, good afternoon, gentlemen. I’ve got a few small questions. With the acquisition in the Imperial Valley, how did that change the seasonality of production and revenue or severance? Is it insignificant or do we flop into a different quarter?
Mark Grewal: I’ll let Matt talk about the actual fiscal quarters, Ian, but you got a good, very good question there. In Imperial Valley we should come up at least sum up the earlier. Hopefully we’ll be harvesting in July instead of the San Joaquin Valley harvesting in August. So it’s also going to give us an opportunity to move and ship seed up to our milling operations and five points earlier and get them growing earlier before the San Joaquin Valley crop would come off. Then we can ship some of that down to south. And, once you start ramping up both areas, then it’s more of a time of, our Vice President of Operation, Dan Karsten and his team at the mill trying to just get the stuff send out to the Middle East and other areas of export quickly to meet their demands because the more we can get up front, Ian, the more beneficial that has- - it is for us to fill those warehouses overseas, because it takes so long to land the seed I don’t know if you want to add to that, Matt.
Matt Szot: Yeah as Mark mentioned, this production comes in updated earlier which enables us to sell fall plantings earlier in the Middle East South business is our specialized as a non-dormant business, so they both have similar characteristics from a seasonality perspective. Well that being said, IVS will generate an additional $4.5 million to $5 million of the revenue in the second half of the year that we’ve historically haven’t had. Did that answer your question Ian?
Ian Gilson – Zacks Investment Research, Inc.: Okay, that all going to come in the third quarter.
Matt Szot: Will be a combination of third and fourth quarter.
Mark Grewal: Yeah.
Ian Gilson – Zacks Investment Research, Inc.: Okay. How much seed did we sell in total including that divide from Imperial Valley operations?
Matt Szot: We sold 1.4 million tons of S&W varieties and when I [coach] you IVS’s pounds, I want to make sure it would not, its not an exact apples-to-apples comparison and what I mean by that is IVS business include the component of coated seed. That coating adds approximately 40% of additional weight. So if you scale back to rose 0.08 pounds IVS did about 1.5 million pounds a quarter. 2.2 million pounds.
Ian Gilson – Zacks Investment Research, Inc.: Okay. The tax rate, I know there is not a lot of income there, but the tax rate seems to be somewhat higher.
Matt Szot: Well, those are because with the stevia reserve, our net income number for the quarter was lower, so the permanent differences have a more impact of rate on our effective tax rate.
Ian Gilson – Zacks Investment Research, Inc.:
Mark Grewal: I’m not sure. If you can repeat your question? I’m not sure I understand what you mean by the excess cost component.
Matt Szot: Those are [something] on the balance sheet.
Ian Gilson – Zacks Investment Research, Inc.: Yeah, looking at the balance sheet, okay. I’ve got a lot of pages in front of me. Okay. We got crop production costs of $3 million.
Matt Szot: That’s correct.
Ian Gilson – Zacks Investment Research, Inc.: That’s up from $1.1 million in the June quarter. What is in that $3 million?
Matt Szot: In that $3 million there’s a majority of that increase you’re seeing from prior quarters is costs were incurring for alfalfa seed production. We have over 1,700 acres of our owned and leased acreage down in the Imperial Valley, which we announced back in July. All that land is being internally farmed and these are costs, establishment costs we’re incurring.
Mark Grewal: Right now planting, planning and irrigating, we’ve got irrigation as we speak. I could flip you some pictures of what the crop looks like. It looks excellent right now, but, so we’re weeding costs, spring fields, cleaning up the fields to get ready for this fall.
Ian Gilson – Zacks Investment Research, Inc.: Okay. Why are those costs flow-through the income statement?
Matt Szot: They flow-through, well, there’s two different components. You’ve got your growing crop costs, which flow-through the income statement each annual period at the same time as you’re selling the product, it’s component of your inventory and, your crop production costs are longer-term. Those are amortized over the life of the spend, three years of alfalfa seed. The one-third of those costs will go into our per share product costs and so on. Did that answer your question?
Ian Gilson – Zacks Investment Research, Inc.: Okay, I’ll ask a little question, looking at revenue for the quarter and looking at accounts receivables as the percentage, well they have standing if you want, number seems to be somewhat higher than you had traditionally?
Matt Szot: Well, certainly, entire with our strike in revenues, our receivable balances increased a lot of the sales activity that took place in the second quarter, did happened occur in December timeframe, so, getting crop to our customers in the Middle East for February planting. So, those are untypical 90 day payment terms and, we will see a dramatic reduction in receivable, dramatic increase in cash during Q3.
Ian Gilson – Zacks Investment Research, Inc.: Yeah. That should be the same proportion of revenue as such in other periods and, generally in the same quarter is not as high?
Mark Grewal: Right, as a percentage of revenue.
Matt Szot: Right, but it comes back to a lot of the revenues that was generated in December and, we did not have 8 ton or standard payment terms, we have within our customers, they did not pay those receivables by the end of December, they pay them right now.
Ian Gilson – Zacks Investment Research, Inc.: Okay, Great. Thank you very much.
Mark Grewal: Thank you Ian.
Operator: (Operator Instructions) And, our next question comes from Andrew O'Conor at BMO.
Andrew O'Connor – BMO Asset Management: Yeah. Good afternoon Mark, Matt.
Mark Grewal: Andy, good to hear from you.
Matt Szot: Hi.
Andrew O'Connor – BMO Asset Management: Yeah, thank you. I’ve got a couple of things, I guess firstly, Matt do you have a snapshot of the balance sheet after the January offering. So, how much cash does the company have at this moment?
Matt Szot: Well, the offering added an additional $9.5 million of cash, and that number is changing everyday as we are collecting significant receivables.
Andrew O'Connor – BMO Asset Management: All right, so might be like $12.5 million at the moment?
Matt Szot: Yeah, well no Andy, it is lower than that but it should be around those sorts of level by the end of the quarter.
Andrew O'Connor – BMO Asset Management: Okay, all right, and then has there been any change in debt from year-end 2012?
Matt Szot: At the end of December we had $4 million drawn on our line of credit, which was used for inventory purchases for (inaudible), that was paid off in the second week of January and there has been no changes since.
Andrew O'Connor – BMO Asset Management: Okay, so if I look at year-end data, look to be about $7 million at the moment, how much is there then, will it be seven minus four is three?
Matt Szot: Right, exactly.
Andrew O'Connor – BMO Asset Management: Okay, and then, would there be any other near-term priorities or demands on the company’s cash?
Matt Szot: Well, there is lots of exciting opportunities in front of us, it’s part of the reason why we take the role in January and then the equity financing, but we have done a really nice job of managing our balance sheet and we think we are really positioned well to jump on these opportunities that are right in front of us.
Andrew O'Connor – BMO Asset Management: Okay, but I meant away from these opportunities.
Matt Szot: No, we are pretty at this point in time.
Mark Grewal: We said right now Andy.
Andrew O'Connor – BMO Asset Management: All right, got you, and then secondly Mark in addition to your prepared comments, can you expand on the progress with Monsanto and FGI to develop biotech varieties, any suggestion for timing of introduction at this point.
Mark Grewal: Well, we believe that we’ll be out in 2015 with production selling our variety. There is a lot of new things coming on, Andy. They have other trades available. We’re hoping to actually get some of those trades implemented next fall or spring, but we are very pleased with our progress that we started in 2009 to get the seed out in the fields. We’re in two trials right now. So, if the flyovers are successful, which everybody believes they will and Monsanto signs off, we will slowly ramp that seed up and continually. We just have some small acreage and we’ll continue to ramp it up and then by 2015 we can really [meet at] the same fly.
Andrew O'Connor – BMO Asset Management: Okay.
Mark Grewal: That really is going to change the margins as I think you would understand domestically and where that seed selling up because the price point on that is, it’s almost double.
Andrew O'Connor – BMO Asset Management: Well, from…
Mark Grewal: And your cost of productions are the same. So it’s really going to change our model to the benefit of our shareholders.
Andrew O'Connor – BMO Asset Management: All right, sir. Good luck, guys.
Mark Grewal: Thank you very much.
Matt Szot: Thanks, Andy.
Operator: Our next question comes from Brent Rystrom, Feltl.
Brent Rystrom – Feltl & Co.: Hi, good afternoon.
Mark Grewal: Hello, Brent.
Brent Rystrom – Feltl & Co.: How are you? A couple of quick questions for you guys. I was over at the Oxybubbles and I was looking at the 24, 30s, that multi-crop harvester. And I know you guys have been using a [finish head] to call the leaves and the mirror tell me what they’re hearing with their product is that it improved the leaf too much using that stevia leaf. I’m wondering if you ever thought of using like a sickle type or…
Mark Grewal: We’ve have done some sickle stuff, Brent, but we could use any of your expertise. So you’d like to supply up with our agronomies would be more than happy. We’ve done to A type bailing, the spinach harvester, the export we done, we’ve win row. We’re drying it out on tarps (inaudible) of actually removing the stem and the mill from the leaf. (Inaudible) what you really need to get to is ability to just harvest the stuffs, take it to a mill like a cotton gin and be able to separate out the seed and the trash and everything right there, and bulk in and then have everything in a fine little commodity group of seed versus leaf versus trash versus other components. So that’s were I think that the end will come. We’re not there yet and we have to do some of the things you’re looking at that export pose an excellent machine, we’ve had problems with the fingers dropping product to the ground that we weren’t capturing, and so we’re loosing some field on it.
Brent Rystrom – Feltl & Co.: Yeah. They told me that there was bruising, and I’m just curious, what is the bruising actually due to the leaf that hurts your process then recovery in the sweeter?
Mark Grewal: The only thing what heard is for wet and for dry it’s not going to do anything for this; it’s not going to hurt the stevia. Therefore wet in the last, some of the stuff that we did this last fall, right before our rain was pretty wet. And we don’t want to add anymore, but that’s a problem if it’s wet Brent if it’s not were, okay.
Brent Rystrom – Feltl & Co.: And then that would be almost any harvesting method than it just you’d be the harvest dryer?
Mark Grewal: That’s correct.
Brent Rystrom – Feltl & Co.: All right. And you said you are trying to settle [more] you said or no?
Mark Grewal: We’ve done one cycle, we done like a land around a couple of lands and corn (inaudible) is looking at what that does, what’s the growth to it. How can you get? You know we got drift components right there, pretty closer to the surface and what happens to the plant. Do we approve any that methodology or we are safe with the roots and all of that agronomically has been tested out and looked there right now?
Brent Rystrom – Feltl & Co.: All right and then obviously I have been here at the show, the same show everybody here is talking about what a business growing – growth in business growth down to Mexico. I’m just wondering if you could give us any thoughts you might have on that?
Mark Grewal:
Brent Rystrom – Feltl & Co.: All right, thank you very much.
Mark Grewal: Thanks Brent.
Matt Szot: Thank you.
Operator:
[:
Mark Grewal: Hey Frank
Unidentified Analyst: Hey Mark, how are you doing and congratulations there with the team you put together.
Mark Grewal: Thank you very much Frank.
Unidentified Analyst: Yeah. I just want to get a little bit more than idea on this the Monsanto's Roundup Ready. What were you saying there was there is a possibility that in 2015 there would be a material size crop possibly?
Mark Grewal: What we are doing is, if you think about this Frank as we got these little like one acre blocks and we have to make sure that they hay production side, Forage component is correct and that they have the ability to withstand the amount of herbicide we are putting on without injuring the plants. Once that’s approved, then you take those plants and you start putting the seed production on that may, maybe you take it from hay cuttings for forage testing and then you go on seed produce, so and we start with 1 pounds or 2 pounds and we get 2 pounds off this fall. And we get another, and that 2 pounds we plant it, and we plant it on two acres and we get 2,000 pounds.
Unidentified Analyst: I see.
Unidentified Company Representative: Now, we got enough acreage to plant 2,000 acres, and now, we are going on that acreage because that’s going to produce 200,000 pounds.
Unidentified Company Representative: Right.
Unidentified Company Representative: Then we often go on, And so, it’s a couple of year ramp up to do it right and to ensure every time that you do this that you are maintaining the integrity of the traits that you are trying to get for the domestic market.
Unidentified Analyst: I see. Okay, and then on the stevia operation, what should we be looking for here, I mean, what’s our goal right now? And what should we be looking for as far as the next developmental stage to that whole process?
Unidentified Company Representative: Well, I’ll give you the breeding, there is 23 new lines going in the Greenhouse right now. We are focusing on integrating our taste profile with the yield. We’ve got plants that yield well, and we got plants that taste good, but they are not together. So, we got a focus to breeding efforts on getting those things together and looking at all these agronomic practices like a (inaudible) brought up on the harvesting, that’s the product of our harvesting protocol, how do you maintain the stevia sides at the right time without bloom issues, because you want to harvest it at the highest peak of the stevia sweetener components, the Reb A, the rebaudiosides, and at the same time, you want to maintain that the taste component and we are monitoring these Frank and it’s little bit more detail than farming wheat or corn or soybeans, but we think we got the right team in place who understands all of the focuses and right now, it’s R&D, it’s R&D like the high level of guys, we brought in a couple of more breeders and, we think we’re close. I can’t make any promises right now, but we’ve got the strongest team I think out there to make the same work, if we do it’s going to be quite, it’s going to be a nice surprise for our shareholders.
Unidentified Analyst: Okay.
Unidentified Company Representative: (Inaudible) make sure that we are making any money on this right now.
Unidentified Analyst: Right now, I understand…
Unidentified Company Representative: Carrying the low grade now.
Unidentified Analyst: All right. Just one last question, on the Five Points seed operations, are you given a three year, where that capacity was, I know you had given it, but I just wonder?
Unidentified Company Representative: We should be able to do 24 million pounds.
Unidentified Analyst: 24 million pounds.
Unidentified Company Representative: We had a 20% capacity, but, we’re going to ramp that capacity up, or because of our increase in production in Imperial and the start-up that we’ll get, we will ship up from Imperial to start to Five Points mill. And we might ship a lot of our proprietary varieties that are being grown down there, just a Five Points and then due to common seed and some other protein type stuff down in Imperial. But, we’re going to continue to ramp up that mill in Five Points. We understand the important component of what they can do to margin and, we aimed to have our fixed cost to take out so, you’ll see, you’ll be pleasantly surprised as we move forward and work on agreements with FGI, other co-factors and other types of crops to till that mill.
Unidentified Analyst: All right. I want to jump off the call, if there is anybody else out there with question? But…
Unidentified Company Representative: Thank you very much Frank.
Unidentified Analyst: Okay, Thanks.
Operator: Our next question comes from Keith Gil at JHS Capital Advisors.
Keith Gil – JHS Capital Advisors: Happy to say my question was already answered but, thanks for a great quarter, congratulations.
Unidentified Company Representative: Thank you very much, Keith.
Keith Gil – JHS Capital Advisors: Mine was regarding Monsanto and you covered that very well. Thank you.
Unidentified Company Representative: Okay thank you very much, Keith.
Operator: Our next question comes from Ian Gilson with Zacks.
Ian Gilson – Zacks Investment Research: Yeah going back to the Stevia question once you have got the appropriate plants, you’ve got what another two years left on the PureCircle agreement?
Unidentified Company Representative: I think you’re right, Ian and I’ve to actually look at the contract but they want to extend it, it’s not we are not worried about that contract, we are more worried about is that what we want to do as a company, we are looking at a lot of different methods, the big acreage component is going to be the ability to process a material that’s like a tabletop material but acreage wise, but the real value in this is to do with something more or like a lead product where we’ll take it more or like (inaudible) or some type of tea bag top of our operation where we don’t have to refine it to that level and the margins are lot bigger, so we could be going two different directions and or three and then coupled with how do we want to do the R&D and do we want other people involved in our R&D because PurceCircle would help us in R&D. We don’t know if we wanted to, we are looking at some possible patents on some plants in Stevia that will be or do we want to share that or do we want to keep it in house and these are all top level board discussions on directions. But we are very pleased with the scientific approach that we’re taking just like we did at the beginning when S&W started in 1980 with the foundation of breeding programs of salt-tolerant and so we are taking those same type of approaches sometimes, you take a step back but although we’re learning quite a bit and I don’t think anybody in the States has the knowledge base in stevia that we currently have with our commercial operations and what we’ve been doing.
Ian Gilson – Zacks Investment Research: Okay, as you intend to increase acreage, what has to be done to that land to prepare it for stevia? I can remember a couple of quarters ago, we had some excess costs there on the alfalfa side. Are we looking at a new acreage, so that it’s going to require some intensive works done previous to planting?
Unidentified Company Representative: We are not increasing our acres at this time.
Ian Gilson – Zacks Investment Research: When you do?
Unidentified Company Representative: When we do, you got weed issues, you don’t have a lot of materials that you can use on stevia in the United States, they are not ready to start, you don’t have a lot of, you don’t have chemical companies going out trying to register products on stevia because there is only – if we have 250 to 270 acres, we are like 99% of the whole U.S. So, there is not like there is a lot of materials you can use, so, you really have to clean the ground up. You have to pre-irrigate, you have to work the ground. You have to make sure all the weeds are taking care of, before you get it in there, because we are dealing with the food crop. We are dealing with something that’s going to be in somebody’s mouth, and it has to be very, very clean, and so we have to make sure that everything we do sanitizes that deal. You know that is USDA approved and it’s the top, it’s not like a Chinese operation stevia going into a processing, this is California Ag and it’s very high level, and so, yeah, there is some extreme, you are exactly right and there is some pretty high cost going into establish, just the drip systems alone are like $1,200 an acre to put it. And then, we coupled that with all of the Ag work and everything you do. So, establishment costs are very high, it’s like a permanent crop.
Ian Gilson – Zacks Investment Research: Okay, okay, right, thank you very much.
Mark Grewal: You are welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Grewal for closing remarks.
Mark Grewal: Well, on behalf of S&W Seed team, Matt Szot, Robert Blum, our Lytham Partners, Operation our IR team and our staff and we are here to farm show. We really appreciate the new interest this last show that we did with Piper. We really appreciate the new guys who came in back us; we think you’re going to be excited about what you see in the future. But we’ve really got the team; we’re very excited about going forward. Commodities are hot. And with that, I wish everybody a great day and a successful year. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.